Holger Arians: Good morning, everyone. Holger and Zafer and Patrick here. We're going to start the webinar. Just seeing if everyone got in. Yeah, will be good. All right. Welcome, everyone. Thanks for making the time. My name is Holger Arians, I'm Co-CEO and Chairman of Banxa. I'm pleased to present to you today quarter one financials of 2025 unaudited results. As usual, the webinar contains forward-looking statements and no guarantees for any future performance, and there are always risks involved. The webinar will be recorded and will share a link as well. Presenting with me today are Zafer Qureshi, our Executive Director and Co-CEO; and Patrick Maguire, our Chief Financial Officer. If you have any questions, please ask them in the chat, and we'll have time at the end to respond to all these. Just going to start with a couple of opening remarks. Just want to start again with a quick refresh of what Banxa does. We're a fiat to crypto on and off ramp, which means we convert fiat currency like Australian dollars to cryptocurrency, like Bitcoin and back for users that want to get in and out of the crypto ecosystem. So think of us like a bridge into the digital currency world, where we're basically taking the fee from everyone who crosses that bridge. Our mission is to build the infrastructure to extend the benefits of crypto to every merchant and consumer in the world. And we're going to talk a little bit more about the future in this presentation as well. Now we do this by deeply embedding our services in more than 300 crypto platforms, which allows us to get exposure to more than 1 billion users globally. And you see some of the big brands that we're working with here. I just want to give a few operational updates before Zafer dives into more commercial highlights. As you know, the audit has been completed in time, which is finally, we're on top of these audit delays and big thanks to Patrick and his team that have really uplifted the whole finance function. And the team is complete. So a very happy with the state of the finances and our internal processes. We believe that we have now a really strong foundation there. On the licensing front, we've been working really hard in the background of getting this UK crypto license. We're activating that later this year. And later this year means calendar year. So it's very, very imminent. And similarly, the US MTL licenses, which we've been acquiring over the last two years, we're about to activate those licenses, which will come with big cost savings and gives us much more flexibility on which products we can offer. We've also applied for the European markets and crypto assets license in the Netherlands, that licenses are always a big process for the license, we had to submit more than 140 documents. So just to give everyone a bit of a flavor of what the work we're doing and the business model involves -- and that's just the application. So they're going to be interviews and follow-ups and all that sort of stuff until that new regulation pumps into force in mid-2025. We've also established more local banking relationships, which is really important because the banks are still not fully on board crypto space. So we have really strong relationships there, which also allows us to process locally, which means process credit cards locally. That means better conversion rates and lower foreign exchange costs -- and we've really been able to push these FX costs down. We'll speak to that in a bit more detail later. And we've also reduced our cost of capital. We have cheaper lending facilities. So overall, we've made really good progress there. And just want to continue operating with focus and discipline, substance and sustainability. And that's really what Zafer and I have been doing over the last 12 months. And we're very happy with how the business has evolved, where we are today, but even more excited about what's to come, and we'll talk a little bit about that now. Zafer, with that, I'll hand over to you.
Zafer Qureshi: Thank you, Holger, and good morning, everyone. My name is Zafer Qureshi, Executive Director and Co-CEO, and I will dive into some of the business highlights. Just to kind of give some of the new investors who may be on the call a bit of an overview of our key metrics, and we continue to onboard new users process greater and greater amounts of volume and expand our reach currently servicing over 170 countries globally, continue to add new partners on a regular basis. We continue to have 300-plus and adding more to our roster. And as Holger mentioned, our big strength has always been in making sure that we've got very robust infrastructure. And part of that is maintaining and acquiring all the necessary licenses to operate in the markets that we are live in, especially in our key markets such as US and Europe. And one of the key differentiators that we pursue is the local payment methods, and that really helps to enable better local processing, just to improve conversions for our partners that they really had value and enables more and more users to get onboard in to their platform. So currently, we've got 20-plus and more on our roadmap in 2025 that we're looking to add. So just to kind of add on to what Holger mentioned over the last 12-plus months, we've really been focused on ensuring that the foundation is strong within the business so that as we expand and continue to grow and scale, we do that in a very efficient and profitable manner, and it's sustainable. And we've been putting in the appropriate controls and processes to ensure that we've got a very, very good handle on our entire cost base. And making sure that, that's flat as we continue to grow. And you see that over the years and quarters. We've got a really good range for our net take rate, which now covers between anywhere from 2.8% to 3.2%, which will currently actually in this current quarter at almost 3.2% and that's kind of the sweet spot that we found is sustainable moving forward. And we're seeing more and more of the volume that we are processing and the fees that we're collecting on that volume drop to the bottom line, which is super critical for us as we look to continue to move maintain sustainable growth and bootstrap that growth as we move into 2025. So super exciting about the foundation that we've got now and as we shift our focus now to aggressively driving growth moving forward. So just to touch on a little bit of some of the developments and partners that we've added in Q1 of fiscal '25. Some of the big-name partners just to mention a few. Exodus, we went live with them in Q1, started in the Canadian market. They're one of the big wallets, top 10 or top 5 globally, CoinW, Opera Minipay. So we continue to add new partners regularly to our platform. And I think that just speaks to the value that we bring to the partners with our global reach and global infrastructure that just through one integration, they can quickly expand their distribution and access to new users, especially. And then on the license side, the US market, obviously, has been very critical for us. It's one that we've invested heavily over the last few years. And now it's finally we're reaching a point where we're activating our money transmission licenses. It's been a very heavy lift and a big push for the team and really proud of what they've been able to achieve and excited for activating those licenses in December or essentially in the coming weeks. And what that's going to really enable is obviously improved margins. But more importantly is that the product enhancements and the ability to just launch new and better products. And being able to do that on our own and not be limited by anybody else's infrastructure that's super exciting. And then finally, having launched markets in crypto, asset regulatory application in Europe, as Holger mentioned, it's been a very heavy lift as well and excited to get that license we're anticipating in the first half of 2025. And just on the -- a little bit on the new product feature side, we continue to make the friction in our entire end-to-end user journey, more -- reduce that friction, make it easier to onboard, reducing the KYC friction. So any new user entering the crypto ecosystem. They have a really good experience, very similar to kind of and we'll continue to expand on that with the Google Sign in. Previously, we launched Apple 1-Click Pay. And we've also launched an express checkout, which is essentially building on top of Google Sign in and Apple 1-Click Pay. So super excited about the product roadmap that we've also got ahead of us, continue to streamline the user journeys and reduce the friction and just improve convergence for our partners, which is super critical. So, with that, I'll pass it off to Patrick to dive into a bit of our financial highlights for Q1.
Patrick Maguire: Awesome. Thank you, Holger. Thank you, Zafer. So we'll get into this. Overall, it's been another positive quarter for the business. It continued to build on its year-on-year performance again, pretty strong growth. The TTV, as been mentioned, has been driven by product innovation, organic growth and the addition of new partners. I'll just stop briefly on the revenue number. Basically the revenue number, the number of transactions where banks acts as a principle has increased year-on-year and that's primarily driven by reducing friction, increasing conversion, and also allows the business to get better margins effectively on those types of transactions as well. So you see a disproportionate growth on that number reflecting the shift in the nature of the transaction itself. Gross profit, what you can see there is the business maintaining, although we've had a decrease in the net take rate percentage, maintaining strong margins as we acquire new customers, and that's flowing through in a gross profit improvement of about 10% year-on-year. And when you actually adjust for the integrated revenue, which is a service-based revenue, we see that our year-on-year performance is increasing by about 16% on our core business activity as well. We'll talk a little about the operating expenses. So although we've held it at 1%, within that mix on the current year, there's been a relatively significant $400,000 or $500,000 increase in our chargeback as we grow the business volume. And that has been completely offset by operating expenses -- reducing operating expenses such as legal and compliance. So the business is at very tight controls on the expenditure going forward, and able to kind of grow TTV revenue and gross profit with this proportional kind of flowthrough into operating profit and EBITDA. Overall the business for the quarter, the operating losses effectively breakeven there and the difference on the net income that really year-on-year, what we're seeing there is a swing in realized forex gains effectively of about $700,000 to about $800,000. There's also reduction fairly significant work done on the financing expenses between operating and net income. So about $250,000 to $300,000 improvement on our finance expenses through a lot of work on the team, as well as the one-time gain associated with the sale of our Turkish entity that went through in the first quarter as well. So that flows through into our adjusted EBITDA. We can see that that's primarily again driven by our TTV and made sure that we, by maintaining the expense control, we've been able to see most of that gross profit drop down to our adjusted EBITDA and profit. Okay, so we'll just move on and talk a little bit before I jump into here. I suppose as we mentioned, the audits have been completed. The quarterly reporting is pretty much back on track and the finance function has focused a lot on that in the last year. But we have from July kind of had an addition into the team in terms of focusing now on commercial finance business partnering and really kind of bring a lot more kind of support to the business teams on the commercialities, supporting deal closing, product initiatives and margin improvement. But cash continues to be one of the core metrics of the business that we maintain very close eyes on. What we can see here is that our cash conversion cycle really goes through a number of stages where we have obviously cash in the bank, receivables and inventory. And when we look at kind of the movement, basically depending on how a quarter falls, whether it's over a weekend or a holiday period, we can see kind of movement between those elements. But this quarter again, versus the year-end minor decrease in our cash, but the business is pretty much maintaining a good cash balance in a quarter that we had expected to be a softer quarter. So overall a great quarter based on what we'd expected to see and good control over cash and all the core metrics. So pass back to yourself.
Zafer Qureshi: Thank you, Patrick. So as we look at 2025 and beyond, I just wanted to talk a little bit about what we're looking ahead to and what we're building on. And really 2025, with obviously the improving market sentiment, there's again buzz in the space and that's really exciting. And for Holger and I, heading into 2025, it still has a lot of confidence of everything that we believe the future holds, especially with our embedded crypto vision that we've got ahead of us. So what we're really looking to do in 2025 is expand into real world use cases. And the way we're looking to do that is basically make, unbundle our tech stack and create an API layer across that. So we're essentially becoming pure or agnostic to the specific use cases so that anybody can come in and plug and play with our solutions. So some of the big solutions or big spaces that we really mean to tackle are cross border payments, remittances, commerce payments, just to kind of name a few, but there are many more. We really want to be agnostic, pure infrastructure provider and really bring the benefits of crypto to the world of traditional finance. As we know, the challenges in traditional finance is delayed settlements, high cost, a lot of fraud, and just general friction. And we truly believe our infrastructure and the benefits of the blockchain when it comes to immediate settlements, reduced costs, all those things can really solve for a lot of these pain points. And that's what we really have been building out over the past decade, essentially. And now just making it easier to access our solutions and our infrastructure for all of these different use cases. So super excited about that heading into 2025. And the other big thing that we're looking to do is, one of the challenges obviously that we've had is how do we elevate banks as profile. And as we look to activate our money transmission licenses in the US, and the changing sentiment that we're anticipating coming to fruition in terms of actual meaningful, more meaningful regulation in the US and improve the overall environment to operate in the US for crypto firms. What we're looking to do is actually shift our corporate offices to the US in 2025. So what that's going to entail is establishing a major or an office in a major city and just getting closer to our key partners and prospects, improving the engagement with US investors and expanding our marketing efforts in the US overall. So this is going to also entail more presence for Holger and I and some of our commercial team members in the US and a bit of expansion of the team in the US. So super excited about that. And that'll hopefully, I firmly believe that it'll get us on the radar for a lot of these new segments that we're looking to pursue and the partners in those segments. And more importantly as well, for shareholders, getting new investors into our story and on our journey with us. So excited for, super excited for 2025 and what lies ahead. So with that, we'll open it up to questions from our audience. Let's see what we've got.
A - Holger Arians: First one from Kyle. Thank you, Kyle. 2024 Banxa did roughly $1 billion in TTV. Assuming Banxa has $1.5 billion TTV annually, will this make you profitable? The short answer is yes. Patrick, do you want to speak to that?
Patrick Maguire: Yeah, I think the short answer is, yes I think at that level. And what we've seen is we can maintain TTV -- sorry, our net take rate percentage around that 2.8% to 3%, yes, we would be heading to be profitable. We got good control on the expenses, and we wouldn't see any sort of significant -- we wouldn't see a proportionate increase in the expenses. So yes.
Holger Arians: We're at breakeven point overall. And I think this is expecting quite a bit from the future, especially with the macro improving our strong foundation and the opportunities we're working on. So -- based on that, we're actually quite excited about the profitability opportunity that we have. So we are very close. Next question is from Uman. How confident are you in improving profitability in upcoming quarters, given the current market conditions? And can you provide an updated forecast for upcoming quarter? Zafer, could you take this one?
Zafer Qureshi: Yeah, I can take this one. So generally speaking, look, headwinds continue to remain from operational perspective, definitely, the market sentiment has improved. But what we're seeing as well as consumers continue to remain challenged financially, but we do anticipate that subsiding. But overall, as our volumes grow and us entering new segments, we definitely anticipate us being consistently profitable quarter-over-quarter. But as I said in the short term, we do anticipate some headwinds but continue to operate prudently through those. And in terms of an update -- sorry, just one last, I guess, the last part of it. We've held back on providing a forecast as we -- and it's hard to improve how the market will evolve. We are obviously very bullish for 2025, but difficult to put out our forecast at this time.
Holger Arians: Tristan is asking, excellent timing for Banxa to build in the US while it was unattractive. It's true. Fingers crossed that the new administration will be crypto supportive. What potential regulations are you looking to be passed in the US that would be most beneficial to Banxa's business. That's a really good question. So we've applied for money transmitter licenses. We have received 95% of those money transmitter licenses and they allow us to do everything we do today plus everything we want to do in the future. So we're quite happy with what we've worked on in the background over the last few years, and now we're getting to the full potential of this. So there's not much more for the current business and for everything we've planned that we would need from a regulatory point of view in the US or elsewhere. So hopefully, that answers your question, Tristan. And then Matt is asking, with shifting operations to the US with financial reporting at some point convert to USD instead of Australian dollars. Absolutely. I can take that, Patrick. I guess, that's already decided.
Patrick Maguire: Yes.
Holger Arians: Next one is anonymous. Can you provide more information on how Banxa is looking to unbundled technology to tap into cross-border remittances. Zafer, you want to take a first step on that. I can go as well?
Zafer Qureshi: Yeah. So generally, what we're looking to do right now, our APIs are essentially set up that you get the entire offering. So KYC payments, crypto delivery, all that stuff is bundled together. So essentially, what we're looking to is split all those offerings into individual modules and their individual APIs. So that depending on as we enter to target some of the more traditional financial institutions, they may just want crypto delivery. They may just want our fiat payment rails, whatever it may be, they can be very selective and that will enable us to essentially be very agnostic to whatever use case these firms want to pursue. But we sit in the back end to fulfill whatever solution that they're really looking for. So that's how we're really looking at it. I don't know, Holger, if there's anything else you want to add to that.
Holger Arians: No, that's exactly right. It's obviously a massive -- a lot of transaction flow in the traditional finance world, super inefficient. So -- that's really what we want to take on, where we already can provide a lot of value. And that obviously then helps us to be much less dependent on the crypto volumes, which are comparably still very small and very volatile. So that really helps us with getting a much more stable foundation.
Zafer Qureshi: Yeah. And just one more thing I'll add to it. On specifically cross-border remittances, the way that we are looking to solve for that is by leveraging essentially stablecoins, but on top of our infrastructure. So what we will essentially be doing is using the stablecoins and offering that for a lot of B2B clientele and allowing them to essentially move value around globally from whether they want to go to USD to some developing market currency, we can enable that and make it seamless and quick and efficient.
Holger Arians: Yeah, exactly. Thank you, Zafer. Usama is asking, a great quarter management team, amazing work. Thank you very much. Given the crypto markets have recovered meaningfully is the management thinking about going on forums, podcasts and doing marketing on social media to get the story out to the investment community. That's a really good question, and we have a couple of similar questions further down as well. So I'll try to answer this and, Zafer, chime in as well, please. So I think what we've -- Zafer’s and my philosophy was always get the business right, get the foundation really strong. And then we're going to go out there and show what we've done and make material announcements and not just some hot air announcement. And we believe that we have brought the business to a state where it is very stable, and we have a lot of scale ahead of us. So we'll certainly talk much more now with the market about what we are working on and the progress we're making, but only the actual progress, not just what we're planning, but actual results. I think that is most important that we are actually showing substance. And yes, you will hear us on podcasts. We've just engaged with another marketing company, and you'll hear much more of banks on social media and in certain forums and the investment community as well. Nothing specific that I'm going to share now, but -- so the general answer is, yes. Zafer, unless you want to add anything, I think we can probably -- Timo had a similar question and then probably can go to Kyle, if you had to guess TTV for this quarter, what would it be with the recent volatility? I don't know if we want to look into the future. And the next question, I'm just going to combine this as well but probably is asking as there's been a significant uptick in transaction volume since the US election. Yes and no. I think the markets have certainly seen a really good uptick overall. And we're seeing that certainly in the volumes. But also people are waiting. People are waiting until the change has been made in the US. I wouldn't just look at the Bitcoin price. Bitcoin price is just one of the lead indicators, but it's a big industry, there are many, many other areas in this industry that need to pick up that need to get more confident. They need to get the regulation right. And we just heard, I think today, there was a -- just made a note, a court overturned sanctions against a US crypto firm, which was a very, very big case, a company called Tornado Cash. And then Gary Gensler, who has been the Chairman of the SEC, he stepped down. He's been enforcing against crypto companies, including Coinbase very much. So the macro is getting better. And I think people are getting more and more confidence, but it takes a little bit more time this time around because people got burned very much last time. So it's a very, very good time that's about to start is what I would say. So we're very excited about what's to come. Zafer, if there's anything else you wanted to add to this.
Zafer Qureshi: No, I think that kind of covers it and kind of, I guess, in line with this question that we're looking to work with the new US government. I think the key thing that we're going to be really looking for is meaningful change as it comes to -- relates to, obviously, regulatory, having a more clear framework there. And then on the banking front, the banks essentially having less scrutiny for onboarding crypto firms and just essentially the banking rails becoming more robust. And I think that's kind of the more meaningful things for our business, and I think the industry broadly speaking. So those are the kind of changes that we'd be, I think, looking for from the government to push.
Holger Arians: Yeah. Thank you, Zafer. Let's -- I don't want to be repetitive, there are a few ones that we have already broadly answered. Maybe this one here from another.
Zafer Qureshi: Yeah. I guess I'll take this one. How is banks are going to address this negative equity value. It's been obviously tough to operate, and we've been having to be very prudent in how we allocate capital and ensuring that the business has been operating as sustainably as we can operate it with the limited resources that we've had to deploy. I think going forward, we're going to continue to look to bootstrap it. And obviously, the Board is at all times, looking at the strategic opportunities to see how we can accelerate the growth and bring in more resources for the business. But I think at this stage, the path forward for us to tackle that is really going to be to bootstrapped and drive organic cash flow.
Holger Arians: Yeah. Thank you, Zafer. A couple of other questions about the share price, the path forward, NASDAQ listing or not and/or a reverse split. Perhaps we can just combine those. Zafer, you happy to take this one as well?
Zafer Qureshi: Yeah, sure. So on the share price front, as Holger mentioned, I think the key thing for us, we're looking at the more long term and ensuring that the business is built out sustainably and delivering for our partners. I think that's what's going to drive the greatest value long term. But in 2025, as we shift our focus more and more and our footprint more in the US, we are looking at expanding our marketing initiatives across to our partners and prospective clients, along with the investors. It's -- I think 2025 is going to be a good year to get our name out there and in front of investors and bring on essentially new capital and these shareholders into our story. So that's what we're going to be definitely kind of looking to attack in 2025.
Holger Arians: Yeah, exactly. And then I think there's just one from Bobby. When it's the ETA of the US corporate office transition. That's going to be calendar year Q1. And so anywhere between January and March, we intend to establish that, but we've already done a few things. So yeah, Banxa is going to be a US company sooner than later. We're going to report in USD. We're going to have our corporate office here. Zafer and I are going to be there. And hopefully, we have some more shareholder support as well from the region. Okay. I think we've touched on most questions. But if not, please maybe post it again if you don't -- if there's still something open, but we try to cover all of them. I’ll just give another few minutes.
Zafer Qureshi: I guess if there's no more questions, we can close it out.
Holger Arians: Yeah. And yeah, just a reminder, Zafer and I are always happy to have a conversation or send us an e-mail if you have questions. Obviously, we're not going to share anything that's not public. But yeah, if you didn't have the chance then we can repeat some of those things that we set today. Again, overall, I think we've achieved some healthy growth on a really strong foundation that we've built and I'm really happy with what we've achieved in a relatively short amount of time, given what we had to deal with, some of the bigger things we had to get right. And then hopefully, with a better macro environment and also many, many new opportunities, plus going deeper into what we're already doing and tapping into those new segments, I think it's going to be a really exciting year ahead for us. So -- with that, thank you very much for everyone's support, and hope we can continue the journey together. Just a quick one, ETA on API offering Q1 as well, calendar year 2025. So we should be out there with a customer, big customer latest March 2025. Okay. Again, any other questions, send us an e-mail. Thank you very much for joining and your time, and thank you, Zafer and Patrick as well.
Zafer Qureshi: Thank you, everyone.